Operator: Good morning, ladies and gentlemen. Thank you for joining the JAKKS Pacific Fourth Quarter and Full Year 2014 Earnings Call with Management. Today, JAKKS will review the results for the fourth quarter and full year ended December 31, 2014, which the company released earlier today. Please note that presentation slides containing information covered in today's earnings release and call are available on the Investor section of our website. On the call today are Stephen Berman, President and Chief Executive Officer; and Joel Bennett, Executive Vice President and Chief Financial Officer. Mr. Berman will provide an overview of the quarter and the full year. Then, Mr. Bennett will provide detailed comments regarding JAKKS Pacific's financial, operational results. Mr. Berman will then conclude the prepared portion of the call with highlights of product lines and current business trends prior to opening up the call for your questions. [Operator Instructions] Before we begin, the company would like to point out that any comments made about JAKKS Pacific's future performance, events or circumstances, including the estimates of sales and earnings per share for 2015 as well as any other forward-looking statements concerning 2015 and beyond are subject for Safe Harbor protection under Federal Security laws. These statements reflect the company's best judgment based on current market trends and conditions today and are subject to certain risk and uncertainties, which could cause actual results to differ materially from those projected in forward-looking statements. For details concerning these and other such risks and uncertainties, you should consult JAKKS' most recent 10-K and 10-Q filings with the SEC, as well as the company's other reports subsequently filed with the SEC from time to time. With that, I will like to turn the call over to Mr. Berman.
Stephen Berman: Good morning, everyone and thank you for joining us today. I will begin with remarks about our fourth quarter and full year 2014 and then I will turn the call over to Joel Bennett, who will take through our financials. We are very pleased with our strong fourth quarter performance, which was a great finale to a very solid 2014. JAKKS pursued a very strong quarter despite many challenges such as a highly competitive retail and consumer environment and the West Coast port issues that presented many logistical difficulties. We are thrilled with the reception of our Disney Frozen Snow Glow Elsa doll, which was among the most sought after toys in 2014 and won numerous accolades across the world. In fact, in 2014 we shipped over 1 million Snow Glow Elsa dolls internationally alone in over 30 different languages. Both our Snow Glow Elsa dolls and our own multi award winning Max Tow Truck, were featured in Fortune's Magazine list of top five most sought after toys, this past holiday season, but this year was not just about Frozen and Max Tow Truck. The fourth quarter closed an exceptional year, into which many of our products showed strong results and was sought out by many customers. Our big figures license range of large scale figurines as well as our Nintendo figures and plush had a solid 2014 and show a promise for the future. By Disguise Halloween division had the strongest year ever. Furthermore, 2014 was not only about great compelling product. It was also the year, where we fully streamlined operation efficiencies allowing JAKKS to return to profitability and growing our margins. These improvements enable us to be focused and agile, which was recognized by our retail partners with the Toys"R"Us, Vendor of the Year Award and the Walmart Seasonal Supplier of the Year Award for our disguise division. Disney also recognized JAKKS specific as the Licensee of the Year in Europe, Middle East and Africa and Best Girls and Tween Licensee in the UK and Ireland. Our ability to foresee the nature and scale of the port closures allowed us to strategize, to mitigate the impact which has kept us till this day, just ahead of the curve thus minimizing the affect to our business and allowing us to have healthy inventories with the start of the year ahead that already looks promising. In conclusion in 2014, we were able to showcase our core competencies of having the agility to develop, manufacture and ship high quality popular toy products and costumes and a quick response to consumer demand, while keeping a tight focus on operating efficiencies and margins. Now I'd like to turn the call over to Mr. Joel Bennett, to review our financial results for the fourth quarter and the full year 2014 and then I'll give a further update of our business this year and beyond. Joel?
Joel Bennett: Thank you, Stephen and good morning, everyone. Net sales for the fourth quarter of 2014 increased 84% to $254 million from net sales of $137.7 million reported in the comparable period in 2013. Reported net income for the fourth quarter was $2.8 million or $0.11 per diluted share compared to reported net loss for 2013 of $16.1 million or $0.73 per diluted share. Adjusted EBITDA for the fourth quarter was $10.6 million compared to negative EBITDA of $6 million in 2013. Net sales for the full year of 2014 increased to $810.1 million compared to $632.9 million in 2013. Reported net income for 2014 was $21.5 million or $0.70 per diluted share, this compares to a net loss for 2013 of $53.9 million or $2.43 per diluted share. Adjusted EBITDA for 2014, was $52.9 million compared to negative EBITDA of $17 million in 2013. Worldwide sales of products in our traditional toys in electronic segment increased to $140.1 million for the fourth quarter of 2014 compared to $76.7 million for the fourth quarter in 2013. For the year, traditional toys sales increased to $408.4 million in 2014 versus $320.6 million in 2013. Sales in this segment in Q4 were led by Disney Frozen Toddler dolls, Nintendo plush and figures and Star Wars figures driving the category to an overall increase this quarter. Worldwide sales from our role play, novelty and seasonal toys segment increased to $113.9 million in the fourth quarter of 2014 compared to $61 million in 2013. And the sales for role play, novelty and seasonal toys for the full year of 2014 increased to $401.6 million from $312.4 million in 2013. Disney dress-up and role plays products including Frozen, Princess and Fairies dominated sales in the category this quarter driving the category to an overall increase. Included in the category numbers are international sales of approximately $49.4 million for the fourth quarter of 2014 compared to $14.2 million in 2013. International sales for the full year of 2014 and 2013 were $156.6 million and $108.7 million respectively. Disney Frozen and Princess Doll, Nintendo and Slugterra products drove the increases in 2014 sales in the international market. Gross margin for the fourth quarter of 2014 and 2013 was 31.4% and 29.4% of net sales respectively. And gross margin for the full year of 2014 was 29.1% of net sales compared to 23.6% of net sales in 2013. The increase in gross margin during the fourth quarter is due in part to better product costing which includes cost reducing legacy products better costing on new products and achieving more beneficial price points on broad array of items in certain categories. SG&A expenses in the fourth quarter of 2014 were $72.4 million or 28.5% of net sales as compared to $54.8 million or 16.6% of net sales in 2013. SG&A for the full year of 2014 was $200.3 million or 25.1% of net sales compared to $200.3 million or 29.4% of net sales in 2013. The increase in SG&A in the fourth quarter is result of higher sales in the quarter, with higher media and outbound freight and also increased legal fees related to shareholder actions. For the full year, the relative decrease of SG&A as a percentage of net sales is due in part to significantly higher sales and operating efficiencies and leverage. Consistent with the seasonality of our business and on higher sales, operations provided cash of $26.1 million for the fourth quarter of 2014 compared to providing cash of $67.9 million in 2013. As of December 31, 2014 the company's working capital was $246.2 million including cash and equivalence and marketable securities of approximately $71.7 million. Depreciation and amortization was approximately $2.8 million in the fourth quarter of 2014 compared to $4.5 million in 2013. Capital expenditures were $1.7 million for the fourth quarter 2014 compared to $2.2 million for the fourth quarter of 2013. For the full year, capital expenditures were $10.5 million in 2014 compared to $10.1 million in 2013. Our effective tax rate for the fourth quarter was 12.4% and was 14.8% for the full year of 2014. Accounts receivable as of December 31, 2014 were $234.5 million up from the $101.2 million at the end of fourth quarter of 2013 due to significantly higher sales in 2014. This resulted in DSO's in 2014 of 83 days, an increase of 17 days from 2013. Inventory as of December 31, 2014 was $78.8 million up from $46.8 million in the fourth quarter of 2013, due to higher sales and continuing high demand for our products. In 2014, DSIs were flat at 52 days versus 2013. The company currently expects increased earnings and EBITDA on lower revenue in 2015. Net sales for the full year of 2015 are expected to be in the range of $730 million to $740 million with earnings in the range of $0.71 to $0.75 per diluted share and EBITDA in the range of $56 million to $58 million. For the first quarter 2015, the company expect net sales to be in the range of $101 million to $103 million with the loss in the range of $0.44 to $0.47 per diluted share. EBITDA is expected to be in the range of negative $2.2 million to negative $2.8 million. Reflected in the Q1 and full year guidance are gross margins of at least 31%. And with that, I'll return the call back to Stephen Berman.
Stephen Berman: Thank you, Joel. As you just heard, we're very pleased with our 2014 performance and enter into 2015 with prudent optimism. Our strong sell-throughs in 2014 left us in great shape at retail and we're already off to a strong 2015. Despite an initial estimate showing a reduction in sales for 2015. We will monitor sell throughs and seek additional opportunities as we did in 2014. And where possibilities occur, we will react as we did last year. As Joel mentioned earlier, for our first quarter forecast of 2015. We were seeing strong year-over-year growth compared to first quarter, 2014. As we enter into 2015, we are excited about achieving our strategic plans for international growth. Increased US distribution for both online and brick and mortar as well as a pipeline filled with great product offerings both physical and digital. We still believe, we can maintain a healthy level of profitability, even on lower revenue forecast. We are confident with higher gross margins and the operated efficiencies that we have attained and continue to work for, will result in continued profitability. In terms of product, we have created a terrific line up for 2015 in all of our segments. For Disney, we have developed a rich year two broad product line for Frozen, whose current sell throughs continue to be very strong and encouraging. We are keeping a close eye on the ongoing Frozen opportunities and are well positioned to capitalize on it. We are also very excited for the release of Disney's Cinderella live-action movie, expected to be in theatres in March. And we continue to feel strong about our core Princess line for the year. In addition, we are excited of our new line of Star Wars products for this fall. We continue to grow JAKKS own IP with product such as Max Tow, miWorld, Selfie Booth, Street Dogs and 3D Character Creator just to name a few. In our boys segment, we are expanding our big figure products into new scales and with new licenses from highly anticipated films and entertainment properties such as Star Wars, Minions the movie, Microsoft; Halo video game just to name a few. We will be announcing more exciting partnerships for our big figure lines throughout the year. Also, we were looking for 2016 for the new releases of Superman versus Batman, other DC Comic characters and Legendary's feature film for 2016 Warcraft. Max Tow has cleared the way for the Max Mini segment shipping to retailers now and all the new Max Tow Turbo for this fall. We expect a tremendous growth from this segment, both US and internationally in 2015 with sales at least doubling. Hot for 2015 is our new 3D Character Creator, which adds a boy's activity through our boys segment and gets into another aisle in the toy department. This is been driven by great creative customizing play along with the best entertainment licenses. These were just a few highlights in what we feel is a very strong boy's line up of products this year. In our girls segments, miWorld DreamPlay line had a successful year and we are introducing new licenses including Build-A-Bear and AMC movie theatres. Our Animal Babies line was a sleeper [ph] hit in 2014 and we have a fun new TV feature doll coming out this year. We are also launching SKECHERS, Twinkle Toes, Small Doll and collectible line based on the number one kids fashion shoe brand and supported with webisodes, a new DVD and cross promotions with SKECHERS. Our Moose Mountain segment of inflatables, wagons, activity tables, and other children furniture and big wheel ride-ons is looking forward to a great year with licenses such as Frozen, Doc McStuffins, Cinderella and Minions. Along with Paw Patrol the animated series from Nickelodeon which is the most exciting boys pre-school branded 2015 and of course, Star Wars. To finish up our seasonal business, lastly our Maui line of products are off to a great start with current retail sell throughs being strong. 2014 was a great year for our Disguise Halloween division with online volume up 125% over 2013, catalogue business up over 388% and pop up stores up 52%. Coming as no surprise, Frozen costumes were one of the top properties for our Halloween line in 2014. However, the combined Disney Princess category continue to hold its own. For boys Transformers: Age of Extinction and Super Mario Brothers were a huge successes in 2014. In 2015, Frozen will still be strong and we expect the Cinderella movie will have a big demand. Disney's, Descendant should also perform well in our technology and DreamPlay segment. Our Selfie Booth app launched on iOS and Android in November and uses a green screen and app combination which is a great example of expanding the use of technologies in our portfolio. The app includes IAPs and works exclusively with the physical product, so as the product distribution increases app downloads and users will also increase. The Selfie Booth launched at Toys"R"Us an exceeded plan as well as alternative channels such as Bed, Bath & Beyond and flash sites including Groupon, which sold out in one day. The Max Tow app launch on iOS and Android in August and downloads are steadily increasing each month. The average session over 9.5 minutes, which is really strong and approximately 75% of users are returning users. We updated Ariel's Music Surprise to include additional products and the miWorld mall app to include additional product activations IAPs and new games. And our per app analytics, we are seeing that kids continue to use digital with the physical and connecting the two worlds. Session times are averaging about seven minutes plus, which is very positive. 83% of users are returning meaning, they're going back in and playing the game and using the app over and over. In 2015, there will be more technical and digital initiatives that leverage multiple technologies including augmented reality, image recognition, gaming and more. From our technology line of app enhanced products to our 3D Character Creator and our new RCs our tech product portfolio continues to grow. Now turning to our international business. In 2015, we see a sizable growth opportunity for JAKKS. We have secured expanded international rights to many of our domestic licenses and we have more robust product offerings abroad. To pursue this, we continue to expand our international presence with offices opening up in China and Mexico and a distribution warehouse in Germany. In China, JAKKS Meisheng, China is now fully operational and we sell JAKKS license and non-licensed products in China. Our Mexico City office will open in spring in effort to expand our direct to retail sales to clients such as Walmart Mexico, Durinia [ph] and Liverpool. In Germany, we have gathered a veteran team to maximize opportunities by offering domestic programs, through a local warehouse and offering the entire portfolio of JAKKS products with a strong emphasis on Disney products. In closing, we are looking forward to a strong performance in 2015, with contributions coming from a broad array of products and markets. We strongly believe we have a formidable product line up and expanded reach in international markets that positions us well for a solid and profitable 2015. We remained focus on our operational efficiency and disciplined with our margins to ensure improving profitability in the future. Thank you everyone for the time today and for the prepared portion of the call. With that, we'll open up for Q&A.
Operator: [Operator Instructions] our first question in line comes from Gerrick Johnson from BMO Capital Markets. Please go ahead.
Gerrick Johnson: Joel, first off can you give us the convertible interest add back for the fourth quarter in year as well, shares outstanding, shares from converts etc.? Sorry because I'm having a little bit of trouble time through EPS number.
Joel Bennett: Sure, the after tax interest for Q4 was 2,041,000, the weighted shares 24,284,000. For the full year 7,342,000 interest add backs, weighted shares 20,387,000 so that should get you there.
Gerrick Johnson: Okay and your first quarter sales are expected grow over 20% in your reserves for allowances are down about the same amount. So what explains those two going in opposite directions?
Joel Bennett: Generally, it's a matter of when the customers take their deductions. We fully accrue all programs as the sales are made. So it's more function of when the customers take the deductions.
Gerrick Johnson: Okay, so do you feel you're pretty much fully reserve for anything that might occur in the first quarter?
Joel Bennett: Absolutely.
Gerrick Johnson: Okay, I've a few more. I'll get back in queue.
Operator: [Operator Instructions] our next question in line comes from Sean McGowan from Needham. Please go ahead.
Sean McGowan: I've a couple of quick questions and then one that might take a little bit longer. Joel, can you help us out with what we can expect on new guidance for take rate in 2015 and if you can for the fourth quarter give us some ballpark figure of what the gross margin was within each segment, where there was upside or downside there? Within the role play and the traditional toys?
Joel Bennett: Sure, with the legacy items we have margins ranging from the high 20s to the high 40s, but on average they are coming in that general range in terms of upside, this is about where we would expect them to be in the short-term, as we continue to re-cost, so there was nothing really anomalistic within each of the divisions.
Sean McGowan: I was looking for like a more specific number like within role play, what was the gross margin in the fourth quarter and within traditional toys, what was the gross margin, do you have that handy?
Joel Bennett: No, I don't. I'm sorry.
Sean McGowan: Okay, I'll wait for the 10-K and then taxes in 2015? Tax rate, I mean effective tax rate.
Joel Bennett: Yes, it's 14.9%, although it will fluctuate a little bit amongst the quarters because the flow of taxable income between Hong Kong and the US varies somewhat. For example, Q1 will be about 4.5%, but for the full year we are expecting at the 15%.
Sean McGowan: Okay and then, if you, you went through a couple of factors that affected a cost and expense in the fourth quarter and could you talk, how that relates to why more of the sales upside. Isn't flowing down to the bottom line? Can you just kind of give us some order magnitude of what some of those costs were in the fourth quarter?
Joel Bennett: Sure, to recap on the upside of $55 million in sales, we would have ordinarily expected a read through of $10 million, $11 million. However, in the fourth quarter we had a number of unexpected in some non-operational expenses including legal associated with the shareholder actions. In addition, Target Canada is closing business and we had some bad debt associated with that. The upside in overall operations triggered some incremental bonuses and in addition to drive that upside, we had additional media and outbound freights since a lot of that upside came from domestic sales.
Sean McGowan: Okay, so do you think if those things would add up, to about that, $10 million?
Joel Bennett: Yes, that's about $9 million. So again on the $55 million, we would have expect. Our incremental EBITDA margin is in the $20 million, so we would expect it about $10 million off of that $55 million.
Sean McGowan: That's really helpful. Thank you.
Operator: Our next question in line comes from Stephanie Wissink from Piper Jaffray. Please go ahead.
Maria Vizuete: Hi, good morning, this is actually. Maria on for Steph. Thanks for taking our question and congrats on a great quarter. I've just a couple of questions. I was just wondering, first off if you can just discuss the sales forecast for 2015 and what the year-over-year decrease is primarily tied to, I assume it's Frozen and how strong Q4 was, but if you can discuss some of the specifics around that?
Stephen Berman: As I go into 2014, I'll go through the product lines at really were successful. Frozen, Max Tow our big six category, our Nintendo line worldwide, miWorld, Black & Decker, the Disney Role Play and strengthen overall Moose Mountain those contributed a lot to our success in 2014 and some of those will continue on and grow into 2015, whereas, where we got our forecasting guidance which our introduction of new items, which will be Hulk's mask, Amazing RC [ph] and the Marvel RC [ph] which is based off several movies being launched this year. We are continuing to develop new products in our Frozen category. We have a second amazing doll to go as we did with our Snow Glow Elsa called Sing Along with Elsa, which allows a child to sing the full song with Elsa and the doll will sing with the child. We also have an amazing jewellery box that just to name a few. For 2015, we have the new Cinderella live-action movie which launches in March and we expect many good opportunities in various categories. Max Tow has a very large extended line from Max Tow 2.0 to Max Mini's. We have big things with the Star Wars launch as well as big fig containers with Minions. We have a very broad line of Nintendo, our 3D Creation station, new launches of Street Dog and SKECHERS and Halloween. We have Emoji's [ph], Nintendo, Cinderella live-action, the new movie from Disney, Descendants. And My Little Pony, so that all coupled with a lot of continuation in growth from 2014 going into 2015, with new categories area how we compelled focusing on our guidance for 2015. Again, we are really cautiously optimistic for 2015. This is the best estimate that we have at this time and we will continue to see how things progress and develop through the course of the year and we'll just make adjustment positive and or negative when necessary, but of course we'll want nothing more than to exceed our forecast again as we did in 2014.
Maria Vizuete: Great. Thank you. That's very helpful. Just a couple quick other questions. On the cost side, in 2015, do you guys expect any benefits from product cost this year and what is your exposures to resin, which is great? Thank you.
Stephen Berman: On the first, as we indicated in the release our short-term margin targets are at least 31% and we're achieving those by re-costing legacy items which we don't have the ability to raise prices, but by re-costing, by going to other factories we were able to actually effect some nice margin improvement and that just extends to improved sourcing overall for new products as well. In addition, we are better managing licenses and the expectation of short fall, is that they will be much lower and we've mentioned in previous calls Frozen becomes part of the core Disney Princess effectively cost collateralizing those contracts and then with new items, we have the ability to create the value at retail and through that cost, actually bring new lines into the portfolio that have higher than average margin.
Maria Vizuete: Thanks and just on the resin exposure, can you provide us with that?
Stephen Berman: Sure. Some of products have no plastics, we do a lot of role plays and dress-up. So we're really not exposed especially now that oil has been below $100 and well below historical rates for long time. So we have very little exposure to that.
Maria Vizuete: Great and I'm sorry, just last question. Can you just enlighten us with the D&A [indiscernible]? Thank you so much.
Stephen Berman: In 2014, it ran about $21.4 million and we have been able to reduce CapEx through engineering of tools and moulds. So we would expect that in the $21 million range again for, I'm sorry, it was $19 million last year, so we'd expected about $19 million in 2015.
Maria Vizuete: Great, thank you so much and best of luck.
Operator: Our next question in line comes from Jeffrey Thomison from Hilliard Lyons. Please go ahead.
Jeffrey Thomison: I had several questions and they've all been asked and answered. So let me just come up with a small question for you. If you could clarify to whatever extent you're comfortable, what specific licenses you will have in 2015 from the Frozen and Star Wars property given those are such a high profile property?
Stephen Berman: So for the Frozen and Princess categories which they're combined together now. Frozen is part of the core princess, we have large dolls toddler and baby worldwide, we have 3-inch to 6-inch toddler dolls and baby dolls. We have 18-inch Princess & Me dolls, we have dress-up and dress-up accessories. We have the role play category, we have the bulk category which are like vanities and kitchen. We have style heads and my size dolls. We have miscellaneous activities like the Olaf Snow Cone Maker and Switch Em Ups. We have a broader ray of flash lights, broad array of costumes and our Moose Mountain categories. It's very broad from ball pits to wagons to 2-in1 Happy Hauler, and kids only, big wheels, kids indoor and outdoor furniture and so on. Those are just to name a few, on the Cinderella live-action we have large dolls which are toddler and baby dolls, the 18-inch princess dolls. Dress-up and dress-up accessories, role play and Halloween costumes and on Star Wars which is classic Rebels and Episodes VII. We have 18-inch to 20-inch figures and vehicle scales worldwide, 31-inch figures worldwide, our 48-inch figures which we did last year was a Teenage Ninja Mutant Turtles. We have moulded flash lights, plug and play and a wide variety of Moose Mountain to just a name a few.
Jeffrey Thomison: So, Stephen is there anything specific that will be branded, The Force Awakens, in the fourth quarter?
Stephen Berman: Yes, there is from our 18-inch and 20-inch figures and vehicle scales, to those categories to our 31-inch figure, to our plug and play, our 48-inch figure and I believe some of the Moose Mountain everything I mentioned will be part of Episodes VII: The Force Awakens.
Jeffrey Thomison: Okay, great. Well good luck on all that.
Operator: Our next question on line comes from Mr. Ed Woo from Ascendiant Capital. Please go ahead.
Ed Woo: I had a question about retail inventory. How does it look out there?
Stephen Berman: If you're talking on specifically broad array of JAKKS Pacific products, we are extremely healthy on inventory. In fact, to-date our sell throughs, we couldn't be more pleased with. Two of our top retailers in the US started with 15% less inventory than the prior year, which leaves more open by an increased demand for replenishment. Our Frozen categories of business continue to show extremely positive sell throughs comps versus 2014 at all of our top retail partners, very impressive week-over-week growth and we're enjoying a really - point right now, as approximately 30% POS increase at Walmart on total sales revenues. So we're seeing some great sell throughs currently at retail. I cannot speak on behalf of competition of where they're at, with inventories.
Ed Woo: Okay in terms of your Frozen inventory at retail, are you pretty well stocked or are you still chasing demand?
Stephen Berman: I would say, we are continuing to be well stocked, but we're constantly shipping as you've seen in our inventory, we have avoided a major portion of the port issue, so we brought inventory in based off of multiples and sell throughs and I think based of what we reviewed over the last week, we have 80% to 90% end stock at our major retailers and our secondary retailers and we're keeping at, we're not, we have to focused on, it's not just having compelling product amongst the whole company, we have to be able to be in stock and achieve what the retailers need and that's something that JAKKS does very well. We are very agile, but you can speak to our customers. So we meet the demand that how we win specific customer award. So I think we've done very well in keeping up with demand and making sure we have the right product in the right areas and not having the incorrect product in incorrect areas.
Ed Woo: Great, then I had a question about your international business. Is your international business facing similar momentum with your domestic business and also are you forecasting growth international in 2015?
Stephen Berman: Yes, we're forecasting growth in 2015 internationally and what's occurring for us, is that we're actually getting additional licenses, where we didn't have them previously for our international territories, which is helping. We also have more of our own IP which is very beneficial international territories. In addition, we announced later last year. Our joint venture with Meisheng which gives a free trade sales agreement with China. We have a new office in Mexico and a new office in Germany. So all that being said, we see strong growth and we're hoping for exceptional growth in 2015, but we're monitoring it throughout the year, but international is something we've mentioned over the last 18 months, where we're putting extremely strong effort and the team that we have in our international business I think is one of the best. So we're excited for international to continue to grow, not just in 2015, but well beyond.
Ed Woo: Great and one last question, I have is on cash. You guys obviously are going to be generating a lot of cash. You guys have a lot of working capital. Do you have any comments on what you guys made views on cash in 2015?
Joel Bennett: Sure, I mean we consider a lot of different deployment areas, our converts are trading below par. We look at the stocks from time-to-time, in addition to there is a robust acquisition flow. So for the right opportunity, we would pursue any or all of those.
Stephen Berman: In addition, the components we see growth as we've said in the past, one is through new compelling product and licenses. Acquisition is been part of our DNA since inception. Our international expansion, not just in offices and people, but licenses and developing products specifically for the international territories and also doing two tiered call it marketing distribution and development platform, which allows us to get into alternative channels such as Gamestop, Justice and Col [ph]. So we're utilizing the cash in many various areas, but the most of part of it is to, one is to bring shareholder value and two is to make sure that we have, the roots in this company to grow in all aspects of our businesses.
Ed Woo: Thank you and good luck.
Operator: We have a question from Gerrick Johnson from BMO Capital Markets.
Gerrick Johnson: Just wanted to touch on international huge increase during the quarter. Was there any sort of lift from switching over to direct distribution in Mexico, China there and do you anticipate any lift from other geographies going direct?
Stephen Berman: Gerrick, great question. It's about one is, selling direct where we do in many territories. We have a split platform for distribution which minimizes our risk which is distribution as well as selling direct, but the selling direct we are becoming more and more agile to sell direct where appropriate. So in Mexico, which is a very big market, China is a very big market, UK, Germany and France. We sell direct and we sell through distributor. So there, the growth is coming from selling direct retail and being able to market our own product and control what we do with our own product as well as another areas using distribution, but in addition as we're acquiring increase of licenses worldwide such as Nintendo various Disney licenses and China in fact, we have a broad array of the Disney licenses and which we have in the US. So it's coming from various segments, various areas, but international be a very big growth trajectory for us over the next few years. So we set the placements over the last 18 months. So we're really cautious, but optimistic with the approach.
Gerrick Johnson: Okay, thanks. And so you guys put up some good numbers this quarter, you know some good guidance. Your stock is down 8% kind of replay of what we saw in the third quarter. I don't know, I'm just guessing that some people probably thinking you're just all about Frozen not maybe it and you can't replicate that going forward. Can you just clarify how much of your business really is Frozen, how much is licensed in general, how much is your own brand? Just so we can get a better idea of what your business can look like going forward. Thanks.
Stephen Berman: So one is, I can give you. We're probably about 70% a licensed company, but we're also leaders in specific categories. So we can't break out the what we do by license, whether it's Nintendo, whether it's a Star Wars or whether it's a Disney, Frozen, but what we can do is talk about the strength. We've been a licensed company since day one, Halloween we're leader in. We have very strong licenses in that category. Even we license from a friendly competitor Hasbro for their rights and Moose Mountain, kids only. We license from Hasbro as well as Mattel, Fisher-Price in those categories. So we have categories that we lead in and license are strong sometimes throughout the year and weeks sometimes the following year, so this last year we had Maleficent, which did really nice for and continues to share and this year, we have Cinderella live-action across a broad array of product. We have been since inception a strong license based company, but in addition we have a strong our own proprietary products from Spy Net, to Max Tow, to 3D Creations, to Street Dogs. Our Selfie Booth, our miWorld area. So it's a mix and I'm sorry, can't answer the question of what each license means to us in dollars as we're precluded, but I will tell you Frozen and I know people it's been brought up last year, it was a concern that Frozen would be gone this year. We couldn't be more positive about Frozen, but it's too early in the year like it was for us last year to give a good forward-looking understanding as we did last year early on. We are very positive, we have lot of line extensions in various categories. Disney has a lot behind Frozen worldwide this year. So we're excited about Frozen, but not just about Frozen. We are excited about our Hulk's mask, Max Tow and Nintendo and we're excited about various areas of business and we're just not a Frozen company, but at the same time Frozen is a dream for JAKKS anyone that has license and for Disney, who created it.
Gerrick Johnson: Okay, thank you.
Operator: At this time, I see we have no further questions in queue. With that I'd like to turn the call over to Mr. Berman for closing comments.
Stephen Berman: Again thank you to our shareholders and also to our employees, who have done a great job in 2014 and what they're doing in 2015 and we appreciate everyone's time on this call and feel free to call myself or Joel with any follow-up questions. Thank you very much.